Operator: Good morning, ladies and gentlemen, and welcome to the audio conference call that will review Embraer's First Quarter 2020 Results. Thank you for standing by. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions to participate will be given at that time. [Operator instructions] As a reminder, this conference is being recorded and webcasted at ri.embraer.com.br. This conference call includes forward-looking statements or statements about events or circumstances which have not occurred. Embraer has based these forward-looking statements largely on its current expectations and projections about future events and financial trends affecting the business and its future financial performance. These forward-looking statements are subject to risks, uncertainties, and assumptions, including, among other things, general economic, political and business conditions in Brazil and in other markets where the company is present. The words believe, may, will, estimates, continues, anticipates, intends, expects, and similar words are intended to identify forward-looking statements. Embraer undertakes no obligations to update publicly or revise any forward-looking statements because of new information, future events or other factors. In light of these risks and uncertainties, the forward-looking events and circumstances discussed on this conference call might not occur. The company's actual results could differ substantially from those anticipated in the forward-looking statements. Participants on today's conference call are Mr. Francisco Gomes Neto, President and CEO; Mr. Antonio Carlos Garcia, Executive Vice President, Finance and Investor Relations; and Mr. Eduardo Couto, Director of Investor relations. I would like now to turn the conference over to Mr. Francisco Gomes Neto. Please go ahead, sir.
Francisco Gomes Neto: Good morning, everyone and thank you all for joining our call today. I am Francisco Gomes Neto, the President and CEO of Embraer. I would like to make some initial remarks before passing to Antonio Garcia, our CFO that will explain the results. We are living in unprecedented times in a world with COVID-19 outbreak this year, that has brought meaning impacts to our industry, productivity, to the markets and uncertainties to our customers, employees and suppliers. I strongly believe that in difficult times like this, we need to stay focused on our strategy. I have chosen five main areas that in my view will make Embraer to emerge even stronger of this crisis. In Slide #3 we highlight them. First, and most important one, the health and safety of our employees. Our priority is and will continue to be to protect the health and safety of our people. We have been taking many measures to protect our associates who need to perform work on-sites. Measures such as sanitizing common areas in workstations, use of masks, adapting cafeterias in working areas, ensure appropriate social distancing and provide medical support and guidance in compliance with all the World Health Organization recommendations. Second, cash preservation. Embraer has launched a cash management team. We have daily meetings to discuss our currency liquidity and defining actions to preserve our cash. As for example, strict expense control, very high focus on accounts receivables, [mandatory] [ph] reduction in a non-robust investment approval process, such initiatives to help us to cross this crisis, and will remain as new processes in our company after the crisis. Third, we capture synergies. We are already working to eliminate duplications and regain synergies in [our commission] [ph] aviation. We will manage this business along with others to be more efficient eliminating redundancies and reducing costs. Fourth, business plan updates. We are working with the leaders of each one of our business units to review our five-year projections in the light of market conditions, establishing strategic initiatives, potential partnerships, targets, KPIs, and a well structured execution process, with focus on growth, cash generation and profitability. And finally, our fifth area of focus is to build a new and efficient organization. Before the pandemic, part of my time was dedicated to visit Embraer sites around the world. I like to be very close to the teams into where our products are made. I had great conversations with leaders of different sites, different areas in many levels of our organization and I am strongly convinced that we have a lot of opportunities to make Embraer a more lean and efficient organization, boosting initiatives as operational and commercial excellence programs to reduce costs of our products and always keeping our innovation DN&A. I am very positive that Embraer will exit this crisis much leaner, more efficient, and competitive to grow profitably in the years ahead. Now, before moving to Antonio, I wanted to highlight some important initiatives related to social responsibility that Embraer has been performing in Brazil and abroad. At Slide #4 we highlight that Embraer has been working with its supply chain to produce around 5000 ventilator parts in Brazil. We made a partnership with the Albert Einstein Hospital to make 700 intensive care units available. Embraer is also producing safe masks in Florida to be used in our U.S. facilities. The Brazilian government is deploying our KC-390 Millennium to transport supplies, medical equipment and ambulances to several locations in Brazil. And Embraer has also donated 40,000 COVID tests to the Brazilian Public Health System. With that, I conclude my initial remarks and would like to pass the call to our CFO, Antonio Garcia. Thanks for your attention.
Antonio Carlos Garcia: Thank you, Francisco. It is a great pleasure to talk to all of you. Now moving to Slide #6. As Francisco mentioned, we are operating during unprecedented times with developments regarding to the COVID-19 pandemic, evolving almost daily and growing risks to the global economy, our industry customers and all the stakeholders. Despite our uncertainties Embraer's liquidity position remained solid with our continuous cash discipline. At the end of the first quarter, we finished with a total cash of $2.5 billion and a good debt situation with no major maturities coming due until 2022. We are also in discussion with local and international banks to bring additional financial lines to further strengthen our liquidity in the short-term. I cannot give you details now, but I expect to have news to share with the market in the coming weeks. On a different subject, during the first quarter, we finished the internal segregation of the commercial aviation business, which basically shutdown the whole company during the month of January as we transitioned all of our operating systems, which impacted our deliveries during the quarter. Then as we already disclosed, around a month ago, we received notice from Boeing regarding their interest to terminate the strategic partnership between our two companies in the commercial aviation business. Embraer has been in compliance with all of the conditions under the agreement and we will work in the arbitration process to pursue any and all remedies available to compensate Embraer for their wrongful termination of the agreements by Boeing. We will not make further comments on the arbitration procedures given its confidentiality aspects. By the way, the COVID-19 and the termination of the MTA caused a delay in our closing procedures and we should be fast in the coming quarters with our report. With respect to the COVID-19 impact, we are seeing the biggest impact in the commercial aviation business while executive jets so far remained fairly resilient, as well as defense and security. We continue to discuss deferrals with our commercial customers and up to now we haven't received any cancellation requests. The good news is that key markets for commercial aviation in Europe and United States are already resuming operations and in many cases, using smaller regional jets that should lead the aviation recovery. So in Slide 7, let's talk about the measures for cash preservation and we create in March, beginning of March a cash management team, and we have daily discussion about our cash position and it's a forum where we have the whole management team take a decision with the one subject, one target is the cash preservation. In regards to our order book and cash inflows, we have been daily monitoring our orders and March conditions with an increased focus on receivables collection. We are also right-sizing our production plan with the real-time planning and direct supplier negotiation to check the parts delivery and postponed payments. We were able to reschedule deliveries with all of our main suppliers and we thank our supplier for it. Regarding the workforce, our HR team and the leadership did an outstanding job. We reached an agreement with our unions for furloughs and work day salary reductions. It's important to highlight that the salary reduction has included all of our leadership including senior management and our Board of Directors. We have more than 50% of our Brazilian workforce under this program and I'm proud of this speed with which we have responded to the COVID pandemic with this temporary workforce adjustment. We will continue to evaluate the structure of the company following the termination of the MTA with Boeing and work to make Embraer as efficient as possible and capture our synergies. Finally, we are reducing inventory levels, cut investments and expenses with a strong discipline and cost control. I'm very proud of Embraer team's response to the cash preservation actions so far. Moving to Slide 8, we show highlights for the commercial aviation business. During the first quarter, Embraer delivered five E-Jets. It's important to note that the first quarter is always seasonally weak. And this year, we were closed during the month of January as we worked to finish the carve-out of the commercial aviation business. As far as orders, we didn't have any cancellations since COVID-19 outbreak, and we are working closely to our customer to adjust our deliveries to their current needs, which will bring deferrals to our delivers. In terms of new orders, SkyWest placed an order for 20 E175 aircraft, which brings the total number of orders from SkyWest to the impressive mark of 180 planes since 2013. We also displayed the E195-E2, which recently entered service in the second half of 2019 at the Singapore and India air show prior to the worsening of the COVID-19 outbreak. And finally, we would like to enforce the statement of the International Air Transportation Association, IATA that expects regional aviation to lead their travel recovery in the upcoming months. Slide number 9, some highlights about executive aviation. During the first quarter, we delivered a total of 9 business jets of which five were light jets, and four were large jets. We are proud to see the new enhanced Phenom 300E received triple-certification from FAA in the United States, EASA in Europe and ANAC here in Brazil. In terms of sales activity our bizjet customer reconfirmed their orders for the year with few deferrals and we maintain our book-to-bill of one to one. As far as operations, Embraer executive jets activity in Florida were defined as essential operations in the state, and we did not close, continuing with aircraft production, final assembly and customer delivers. Also Embraer executive jets has offered its business jets, demonstrators to be available to transport critical patients in need of medical treatment during this pandemic. Moving to Slide 10 to talk about defense. The defense and security business celebrate the official signing of the contract with the Brazilian Navy and which Embraer has worked with Thyssenkrupp for the production of four ships to be delivered between 2025 and 2028. The first Super Tucano designated to the Nigerian Air Force, performed its inaugural flight and Embraer signed an additional contract for two Super Tucanos for U.S. Air Force Special Operations Command. As far as the KC-390, currently we have six KC-390 cargo aircraft under different stages of production for the Brazil Air Force as well as Portugal. And we expect to deliver two KC-390s this year to the Brazil Air Force to continue to modernize their fleet with the state-of-art plans. As I mentioned before, the Brazilian Government has been used their two KC-390s already delivered for logistics operations across our country to help in the combat against the COVID-19 pandemic in Brazil. And finally, an important milestone for the Brazil Air Force Gripen program we have the first metal cut for the F version of this fighter jet, which is a two-seat version that Embraer is developing together with Saab. Let's go to the financial results, Slide number 12. Our backlog – in the first quarter 2020 backlog was evaluated at US$15.9 billion which although is slightly lower than the $16.8 billion of the end of the year it still represents several years of deliveries across our business units. Some of the reduction is mainly driven by the fixed conversion of contracts in local currency. Next Slide 13, represents the aircraft delivery starting with the commercial aviation. As I mentioned previously, the first quarter is usually the slowest in terms of deliveries for both commercial and Executive Jets. Thus this year it was impacted by the fact that in January our operations were largely paused to the entire month in order to complete the segregation of the commercial aviation business. Embraer delivered a total of five commercial jets and nine executive jets during the first quarter. Moving to Slide 14, net revenues, in the terms of consolidated revenues Embraer reported US$634 million in the first quarter of 2020, which was down around 20% from the last year first quarter. Most driven by the lower commercial deliveries and the impact of the blackout period in January 2020. Commercial aviation revenue reached US$140 million, executive jets US$130 million driven by the better mix of deliveries in the quarter, especially with the delivery of three Praetor 600 and one Praetor 500. Defense and security $149 million and services $230 million. Next slide on Slide number 15. We present the SG&A expenses for Embraer. Overall we have a positive trend in our SG&A expenses. In the first quarter, we had some adjustment due to the collective occasion in January, and then temporary paid leave in March to close the facility in response to the COVID-19 pandemic. Regarding the increase of selling expenses this was mainly driven by higher adjustments for bad debt provision given the COVID-19 pandemic's brief effect. This was around $33 million in additional provision for the first quarter in the selling expenses. Moving to operating results at Slide 16. Embraer reported adjusted EBIT of $9 million in the first quarter of 2020. We saw a margin of 1.4% adjusted EBIT in the first quarter excluded roughly $55 million dollars and no cash items related to the COVID-19 outbreak. It's important to highlight that our adjusted EBIT in the first quarter includes separation costs of $21.8 million comparing to the $12.3 million, the separation costs booked in the first quarter of 2019. Even with higher separation costs this year, operating results were better than last year, mostly driven by higher margins in the executive and defense. So next Slide 17, we show the adjusted EBITDA. Embraer’s first quarter adjusted EBITDA also excluded the costs related to COVID-19, adjusted EBITDA which $65 million of our margin of 10.2% for the period, which represents a significant improvement compared to the $31 million in EBITDA and 3.8% EBITDA margin in the last year for the first quarter. Moving to the next Slide 18, we present net income. Embraer’s adjusted net income reached a loss of US$104 million in the first quarter, implying a negative margin of 16.4% for the quarter. Our earnings have been negatively impacted by the combination of the separation costs. Similar to the impacts are red showing the EBIT and EBITDA and higher financial expenses. Our reported net income was much bigger loss of $292 million, but mostly driven by the deferred income taxes items that has been triggered by the commercial aviations drop down for the deal conclusion, which is not the case anymore. On Slide 19 representing Embraer investment and CapEx development. During the first quarter Embraer invested $47 million, of which research and expenses were $6 million. Development was $28 million and the CapEx $30 million and the [indiscernible] development, the most part of the investment was for the E175-E2. Next slide, Slide 20 we showed the company's free cash flow. First quarter free cash flow usage is almost always the highest during the year. Generally, due to the lower delivers and high investments in working capital to prepare for higher deliveries in the remainder of the year. In the first quarter of 2020 our free cash flow was negative $677 million, which is helpfully in line with our free cash flow usage in the last year, first quarter. Finally, on slide 21 we show our currency indebtedness profile. Our net debt position at the end of the first quarter stood at US$1.3 billion. We saw robust total cash position of US$2.5 billion and a total debt of $3.8 billion. We are confident in our liquidity position at the present as we have no major debt maturities until 2022 and 2023. And we continue to work in additional financial lines. Our debt maturities mostly concentrated in long term with four years duration. With that, I conclude my presentation. I'm pretty confident that Embraer remains and will continue to be stronger and please operator, you can open for the Q&A session. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Myles Walton, UBS. You may proceed.
Myles Walton: Thanks, good morning. Antonio Carlos, maybe you can provide the margins by segment. It sounded like defense and security and executive aviation actually had pretty good performance, so if you can just highlight that? And then I had a couple of other questions.
Francisco Gomes Neto: Hi, good morning Myles. Yes, as you said, we had a very good quarter for executive and defense, executive margins were around 2% positive margins as we have been saying, executive margins are recovering. Now we have a very solid [indiscernible] of products with the [indiscernible] and that's - it's helping the margins – and this is already showing the results. In defense also as you mentioned as we concluded the KC-390 development, margins would improve and that's also already showing in the results. We have double-digit margins slightly above 10% for defense, also good margins given the conclusion of the KC development. On commercial, margins were affected by very little bit [indiscernible] as Antonio mentioned we were shutdown in January. We only had five deliveries, so margins in commercial were slightly negative. And finally on service, we keep our double-digit margins as we have been showing on the last couple of quarters.
Myles Walton: Okay, great. And then further, for the free cash flow, Antonio Carlos I know you're in the process of securing financing and looking at ways of cash preservation. As you look at it today for the remaining three quarters of the year, will free cash flow be positive?
Antonio Carlos Garcia: Hey Myles, good morning. I would say the Q2 will be also tough quarter for us, but then as we always do, we will recover in Q3 and Q4. I do see pressure in Q2, because we had the biggest impact of COVID on the cash flow side, and then like to see a recovery in Q3 and Q4, if nothing changed in the current scenario that we are leading right now.
Myles Walton: Okay, so do you think year-end balance sheet position is similar to where it is right now?
Antonio Carlos Garcia: It's a little bit above $2 billion regarding to the liquidity, more or less our target.
Myles Walton: Okay, and the last one Francisco, the slide on short-term strategy is helpful. Can you give a comment towards the medium term strategy of the company and whether recombining what has already been separated is something that you're pursuing in the medium term or are you looking at other alternatives?
Francisco Gomes Neto: So Myles we are just in the process to review our five-year strategy plan, meaning with high focus on the commercialization, but also we view this five year plan for the other business units as well in the light of the COVID situation. So we expect to conclude this process in a few months. And in this process, we are evaluating all the possible actions we can take, including potential partnerships.
Myles Walton: Okay, all right. Thank you.
Operator: Our next question comes from Ron Epstein, Bank of America. You may proceed.
Ronald Epstein: Hey, good morning.
Francisco Gomes Neto: Hi Ron.
Antonio Carlos Garcia: Hi, Ron.
Ronald Epstein: Could you give us a feeling for how your conversations are going with your customers? There's a narrative that regional aviation, smaller capacity aircraft could lead us out of this downturn. Are you seeing any evidence of that with your customers and if you are can you give us any feel for what you're hearing?
Francisco Gomes Neto: Well, we have at this point of time a quite stable situation. We have seen some deferrals of our customers, but no cancellations. We might have some change in the following months depending on the progress of how this crisis evolves. But at this point of time, I mean we believe our situation is quite stable in terms of production program for 2020 and 2021.
Ronald Epstein: Okay, and then if we shift to the business aviation end market, the margins this quarter were better than I think folks were expecting. How does the demand front look? Have you seen any deferrals or cancellations there or what's going on in the business aviation side of things?
Francisco Gomes Neto: On the business aviation has suffered much less than the commercial aviation. We had some - a few deferrals for this year. And we might have more opportunities next year because I mean more executives might increase the use of shared flights or even decide to buy their own jets for a more reserved transportation. The executive aviation might be an opportunity after this post COVID. And by the way, although our commercial aviation, as we believe the regional and domestic flight should start earlier I think this will be a good opportunity for our E-Jets, I mean to recover first and also their respective service for those jets.
Ronald Epstein: Okay, great. Thank you very much.
Operator: Our next question comes from Josh Milberg, Morgan Stanley.
Josh Milberg: Good day, everyone. Thank you for the questions. Your comment on where you see cash at the end of the year was very helpful. But I was I was hoping you could update us a little further – that the target of 1 billion in potential cash savings for 2020 that you touched on the last call. And specifically, I was hoping you could address the CapEx and product development of that, and just what kind of investments flexibility you see around the E2 program? That’s my first question.
Francisco Gomes Neto: Hi, Josh, yes as we mentioned on the previous call, we continue to work very hard on the cash side. We have this cash management team that Antonio is leading. And we have been able to identify a lot of potential cash savings. This is going to be very important for us to offset some of the deferrals especially in commercial. So I would say overall the cash situation has been stable in the last four to five weeks, which is very good. So we are working hard to reduce investments. In terms of the workforce, we have more than 50% of our workforce in work hours and salary reductions. So, all those initiatives combined with suppliers that we are renegotiating orders and also postponing payments, all of that will help a lot our cash consumption this year. First quarter is always the weakest quarter in terms of cash consumption, but the second quarter should be also a weak quarter, but after that we expect to recover. I don’t know if Antonio wants to add.
Antonio Carlos Garcia: Just to repeat, we are targeting to finish the fiscal year with liquidity around $2 billion, that's our target, it’s more or less where we are today with some small adjustment. And we are also going down for investment more than 50% by May [indiscernible].
Josh Milberg: Okay, that's helpful, but also taking a little bit of a longer term view, can you just remind us though roughly what the amount of investment is due for the E2 program and how much of that corresponds to the E2 175. And maybe also just comment on whether you've contemplated the possibility of a later entry into service for the E2 175?
Antonio Carlos Garcia: Yes, go ahead please.
Francisco Gomes Neto: Just can I add Antonio, we don't have any confusions in terms of deferring our programs at this point. What we can say is really, we have been spending the last couple of years, around $400 million to $500 million in investments, and these numbers should go down quite substantially. So investment should be more at the ballpark of $200 million to $300 million.
Josh Milberg: Okay that’s fine.
Antonio Carlos Garcia: And in regards to E2 – we are revising our investment and our timelines as soon as we have a final conclusion going to communicate in the market until now there is no change per se.
Josh Milberg: Okay, that's very helpful, and then just one follow-up on the defense profitability. I think you suggested and you had suggested in the past to me that your shift from the development to production phase of the KC could impact mean higher profitability and but we've also seen very high levels of volatility in your margins in defense in the past? So I just wanted, to get a little bit of a better sense if you think that the margin that you had this last quarter is something that that could be pretty recurring over the remainder of this year and beyond?
Francisco Gomes Neto: That's a good question, Josh. As we have been saying, right, we had tough margins in defense in the last couple of quarters, mostly driven by the end of the development of the KC-390. Now that we are concluding the development and we are moving from development to production. We expect margins to get better. I think first quarter was already an indication of that. We had double digit margins in defense at defense margins to maintain at a healthy level as we move away from the KC development.
Antonio Carlos Garcia: And by the way, we really do have a really small reduction in regards to revenue for the defense side is more or less stable, which gives us a kind of let's say comfort to go through the year with a nice number.
Josh Milberg: Okay got it.
Antonio Carlos Garcia: And Francisco, if you allow me also when I mentioned in my initial remarks initially as operational excellence in the cost reduction for specific products we have a project to focus on cost reduction of the specific products and the KC is included in that project, so we expect that going forward to 2020/2021 we expect a very high focus on this cost reduction programs of our products with a positive impact in the results of such products as well.
Josh Milberg: Perfect, thank you.
Operator: Next question comes from Alex Falcao, HSBC.
Alexandre Falcao: Good morning, thanks for the question. My question is regarding the news talking about a negotiation between you guys and BNDES for a debt facility. Can you give us any details on how would that work size any equity component into that? And secondly, given your perspective on where cash is going to be earlier in the call, would that be necessary or is it's going to be a standby facility, depending on how the environment evolves? Thank you.
Francisco Gomes Neto: Hi Falcao, our liquidity as you said right remains quite strong. We closed the quarter with $2.5 billion in cash, very solid cash. Despite that, we continue to evaluate potential new finance lines. We're not even disclosed at this point. But we are confident that there is plenty of liquidity available for Embraer. And if it's necessary, we're going to continue to add liquidity to the company. So we don't see that as 100% necessary, but I think it's very important for us to keep a strong balance sheet and we have the finance lines available if we want you to improve that.
Antonio Carlos Garcia: Falcao, just another comment here. If it's enough or not I'd say $2 billion is our target because we also want to show that Embraer is still liquid, that we still work in the margin, also for future business to close if our customer. And again, have no fear that we are able to do it, hence we would feel also that we've had a strong financial position throughout this year, even with everything what you're seeing right now okay. And for the time being, we don't want to comment about the financial lines, but at least we do not see any activity as a priority right now.
Alexandre Falcao: Okay, that's super helpful thank you.
Operator: Our next question comes from Mr. Cai von Rumohr, Cowen.
Cai von Rumohr: Thank you very much. So we're about two-thirds through your second quarter. Could you give us some color in terms of the demand for business jets or what you're seeing in the market and for commercial. For example, a number of the dealers we talked to said, the first month of the quarter when COVID was coming out there were no deals closing. Are there more deals closing now and also – and now that people have looked over their situation are you seeing both in Bizjets and in commercial more or less requests for deferrals? Thank you very much.
Antonio Carlos Garcia: Okay in regards to for sure we do see a huge amount of deferrals for the commercial aviation. And for the business jets we haven't realized I could say below two digits, the deferrals and especially the fleet owners they are confirming their orders. And there's more or less this way we are here right now highly concentrated on commercial aviation for this fiscal year in regards to deferrals.
Cai von Rumohr: So Bizjets you have a chance of being close to where your earlier forecasts were in terms of – as you see demand at this moment?
Antonio Carlos Garcia: Yes.
Francisco Gomes Neto: And even during the Q2 with all restriction Embraer still continues to deliver aircraft.
Cai von Rumohr: Got it, thank you. And then you mentioned, kind of once we're through COVID, where the company is going longer term. You mentioned examining partnerships. I was surprised that you and Boeing didn't continue the partnership on the KC-390, which looked like it wouldn't require cash on their side without a lot of benefits for both parties with limited investments. And could you comment on any other, potential partnerships like with the Chinese or others just the ones that are potentially in the mix? Thank you.
Francisco Gomes Neto: All right, Cai, Francisco speaking. You asked me, as I mentioned in my remarks, we are now in the process to review our five-year strategic plan and of course, some initiatives are related to potential partnerships in the defensive business units. And of course I mean markets like China, India and others are potential ones. So we are in this moment we review and analyze what could be the potential or possible business models for potential partnerships. Regarding the KC, the original business plan for the KC did not include the countries as U.S. for example. So the market perspective remains positives for the C-390. And of course, I mean here we also have opportunities for future partnerships. But at this moment, we are still in the process to evaluate alternatives and possible business models.
Cai von Rumohr: Does that include for the commercial business or just mainly the defense and bizjet businesses?
Francisco Gomes Neto: No commercial business, commercial business. For example, I can mention one project we have the [indiscernible] that we have started studies on this project. This project is a good candidate for a partnership with potential markets that might be very interested in having this aircraft.
Cai von Rumohr: Terrific, thank you very much.
Francisco Gomes Neto: You’re welcome.
Operator: Next question comes from Victor Mizusaki, Bradesco BBI.
Victor Mizusaki: Hi, thank you. I have a few questions here. The first one if you can give additional comments on the provisions for bad debt, if this is for – if this is related to specific clients? Number two, think about the second quarter, how much can we assume of savings with labor costs with all the initiatives that you mentioned? And that the last question, I mean, you mentioned that the target is to keep minimum cash liquidity of like $2 billion. But can you comment about the net debt position by year end what can we expect?
Antonio Carlos Garcia: Well, I am going to answer your first question. In regards to bad debt provision we didn't change the procedure have internally. What we have been changed is the rating of the major customers. And by evaluating this, we do prefer to build up additional provisions in order to avoid [indiscernible] risking. Again, same methodology just changed – huge change in the ratings of our customers, that's the answer for the first question.
Francisco Gomes Neto: Regarding the labor costs Victor, as Antonio mentioned right, we were super agile to reduce labor costs and adjust our labor force to the COVID-19 situation right. I think that was very important. I think we were faster than most of the companies in the market. We were able to put more than 50% of our labor force in work hours reductions, reducing salaries, and that includes the whole leadership even the Board. So that will be an important saving. That is part of the whole cash preservation initiatives. So we're not even a number, but it's an important initiative. In terms of net debt we are working hard on the cash preservation and its going to help to reduce the potential cash burn. We should close the year with our net debt a little higher than last year, but we still don't have a number to provide at this point. I don’t if Antonio wants to add something.
Victor Mizusaki: Okay, thank you.
Operator: [Operator Instructions] Please hold. This concludes today's question-and-answer session. That does conclude Embraer’s audio conference for today. Thank you very much for your participation. Have a good day.